Operator: Good day, and welcome to the MasTec's First Quarter Fiscal Year 2013 Earnings Conference Call, initially broadcast on May 3, 2013. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thanks, Odette, and good morning, everyone. Welcome to MasTec's first quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing continuing operations adjusted financial metrics as discussed and reconciled in yesterday's press release, filings and supporting schedules. In addition, we may use certain non-GAAP financial measures in this call. A reconciliation of all non-GAAP financial measures not reconciled in these comments to the most comparable GAAP measure can be found in our earnings press release, our 10-Q or the Investor and News sections of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive VP and Chief Financial Officer. Format of the call would be opening remarks and analysis by Jose, followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. We have a lot of great things to talk about today, so now I'll turn it over to Jose. Jose?
Jose Ramon Mas: Thanks, Marc. Good morning, and welcome to MasTec's 2013 first quarter call. Today, I will be reviewing our first quarter results, as well as providing my outlook for the markets we serve. First, some first quarter highlights. Revenue for the quarter was $919 million, a 24% increase over the prior year's first quarter. Continuing operations adjusted EBITDA was $79 million, an increase of 61% over the prior year's first quarter. EBITDA margins were 8.6%, a 190-basis-point improvement. Earnings per share were $0.27, up 93%. And cash flow from operations was $32 million. In summary, we had a record revenue, record EBITDA and a very strong start to the year. Revenue growth was broad-based, with growth across all of our segments with the exception of our renewable power generation business. We are fortunate to be in industries where demand for our services is high. We are experiencing increased opportunities across most of our segments, and our focus today is executing on those opportunities over both the short and long term. As a result, we are heavily investing in our business and gearing up for what we believe to be a very active and exciting future. With our recent upsized bond offering that Bob will discuss later in detail, we further strengthened our balance sheet. We are also seeing an increasing number of what we believe to be very good acquisition candidates. While most of our growth has been organic over the last couple of years, acquisitions give us the ability to increase our resources and better take advantage of those opportunities we are enjoying. Now I would like to cover our segment data. Our communications segment's revenue was $425 million for the quarter versus $389 million last year. EBITDA margin for this segment was 10.9% for the first quarter versus 8.4% in last year's first quarter. The growth in this segment was led by our wireless business, which was up 31% year-over-year. Demand for our wireless services is high, and we are experiencing growth from both our largest customer as well as new customers. The wireless industry has experienced some growth in a number of areas including the deployment of LTE, an increase in the number of new cellular towers being constructed and a shift in long-term maintenance focused more on tower climbs versus surface work. Having a sizable and stable workforce focusing on tower climbing capabilities will be a key to success in this market. We are investing in those capabilities and believe we are a market leader in that business today. Our oil and gas pipeline segment had revenues of $319 million for the first quarter compared to revenues of $168 million in last year's first quarter, or a 90% year-over-year increase. EBITDA margin for this segment was 13.3% versus 7.5% in last year's first quarter. We are off to a very good start. Backlog was up sequentially from $220 million to $387 million. We expect revenue growth to exceed 30% in 2013 versus 2012. This growth will be driven by our continued success in the different shale plays, along with increased activity in large-diameter, long-haul pipeline construction. For the second consecutive quarter, Enbridge was our largest customer in this segment and also MasTec's third largest customer. We expect them to continue to be our largest customer in this segment, as well as the top 3 customer for MasTec for the full year. During the first quarter, we were awarded a contract to build a piece of the northern portion of Enterprise's ATEX Express Pipeline. Work on that project began in the second quarter. We continue to be very bullish on both the near- and long-term services demand related to oil and gas pipelines. As Bob will cover later, we continue to invest capital in new equipment, and we are gearing our business up for what we believe to be increasing levels of demand. Our electrical transmission segment had revenues of $85 million for the quarter versus $64 million last year. EBITDA margin for this segment was 4% versus 13.1% last year. We expected margins to be down in the first quarter, primarily for 2 reasons: the location of our current projects; and the fact that in the first quarter, we were ramping up on 2 major projects. We expect a revenue growth of at least 30% on a full year basis and double-digit EBITDA margins for the full year similar to those in 2012. Backlog in this segment was $398 million at the end of the first quarter compared to $216 million in last year's first quarter. We expect backlog in this segment to continue to grow. Bidding activity is high, and we feel we are well positioned within this market. Similar to our oil and gas pipeline business, we are increasing our capital investment in this segment to position ourselves to take advantage of the opportunities the market affords us. As expected, our power generation and industrial segment revenue contracted to $89 million in the first quarter versus $117 million in the prior year. EBITDA margin for this segment was slightly negative versus a 4.2% EBITDA margin in last year's first quarter. Backlog in this segment was down almost $450 million on a year-over-year basis. As we have previously explained, this is our most challenging business in 2013. We expect full year revenues to be down over $300 million from 2012, primarily due to the reduction in renewables based on the delayed extension of the production tax credits for wind. A challenge in rightsizing this business is the fact that the wind business is expected to increase again in 2014 due to the tax credit extensions negotiated during the fiscal cliff talks. As a result, we are incurring some extra levels of fixed costs and overhead in this business. We expect this business to begin picking up again in the fourth quarter, leading into what we believe will be a very active 2014. We continue to aggressively diversify this business with other forms of power generation, including gas-fired peaker plants and natural gas facilities work. I'd like to briefly comment on guidance for the second quarter and full year. For the second quarter, our guidance assumes a reduction of revenues on a year-over-year basis of about $39 million. That reduction is driven by a decrease of almost $145 million in our power generation or renewable business in the second quarter. Outside the renewables, we expect growth in every one of our segments. We expect second quarter EBITDA margins to be about 10.8%, a significant improvement compared to 8.3% EBITDA margins in the second quarter of 2012. For the full year, we now expect revenues to be $4 billion, or the high end of our previously stated guidance compared to $3.7 billion in 2012 despite a reduction of over $300 million in our power generation renewable segment. We are raising our full year EBITDA guidance to $425 million or 10.6% full year EBITDA margins compared to 8.9% in 2012. To recap, we are off to a great start. We've got strong backlog to support what we believe will be another record year of revenue and earnings. We're investing in our business for both short- and long-term growth. And quite frankly, we've never had the number or the quality of opportunities we are now enjoying. I'd like to turn the call over to Bob Campbell for our financial review. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover Q1 financial results and 2013 guidance. And I'll also cover cash flow, liquidity, our capital structure and our recent bond offering. Consistent with prior calls, when I cover our financial results and our guidance, we will be discussing non-GAAP continuing operations adjusted EBITDA and earnings. A full reconciliation from GAAP results to continuing operations adjusted results is included in our 10-Q, in our press release and on our website. The only adjustment to our first quarter 2013 continuing operations results was to add back the $5.6 million pre-tax loss on debt extinguishment related to retiring our old senior notes. The debt extinguishment loss was $3.4 million after tax, which was a $0.04 negative impact on diluted earnings per share. As you may recall, our guidance specifically excluded this cost. Let me share a few thoughts about the economics of issuing our new senior notes and retiring the old senior notes. In the first quarter, we upsized our senior note offering and sold $400 million of new 4 7/8% notes due in 2023 and retired $150 million of 7 5/8% notes due in 2017. The long-term economics of our senior notes refinancing are just terrific. We obtained a large amount of long-term debt capital with a 275-basis-point interest rate improvement, and we extended our senior note maturities by 6 years. Given our organic growth and our acquisitive nature, we expect to use the new debt capital over time and, of course, we expect to deploy it with very good returns. However, we may not fully deploy the additional capital this year. And we, for sure, will incur higher interest costs while we carry the additional debt. The interest costs of additional debt is $6 million to $7 million or $0.04 to $0.05 a share, and it is reflected in our new guidance. I'll talk a little more about the bond offering later when I discuss our capital structure. We first reported results by segment at year end, and let me give you a brief refresher of our 4 primary segments. Our largest segment is communications, and it includes our telecom wireline business, our wireless business and our install-to-the-home business. Our oil and gas segment includes petroleum and natural gas pipeline and related facilities. Electrical transmission does transmission work and also substation work. Power generation and industrials offers a very wide variety of services, including the construction of natural gas turbine and other conventional power plants, wind and solar power generation and they also build oil and gas facilities. This is the segment that is doing the pumping station work for the southern portion of the Keystone pipeline. And power gen and industrial also does various other types of industrial construction, including building oil, gas and liquids processing and treatment plants. Before I get into my detailed remarks, here are some Q1 headlines. First quarter revenue was up 24% from last year with 19% organic or nonacquisition growth. First quarter continuing operations adjusted EBITDA of $79 million was up 61% from last year, and our guidance was $72 million. Continuing operations adjusted diluted EPS in the first quarter was $0.27 compared to $0.14 last year, a 93% increase and our guidance was $0.24. Continuing operations adjusted EBITDA margin was 8.6% on the first quarter, up from 6.7% last year. That's a 190-basis-point improvement. We have adjusted full year 2013 guidance to revenue of $4 billion, continuing operations adjusted EBITDA of $425 million, continuing operations adjusted EBITDA margin of 10.6% and continuing operations adjusted diluted EPS of $1.80. Included in the $1.80 EPS is a $0.04 to $0.05 negative impact from higher interest expense related to carrying higher levels of debt due to our recently issued $400 million of senior notes. And finally, our capital structure and liquidity are just in great shape, particularly after the very successful $400 million bond offering in March. Now let me get into the details of our results. Q1 2013 revenue was $919 million, up 24% from last year, which was pretty broad-based growth, and our organic or nonacquisition growth was 19%. Our oil and gas business was up $151 million or 90% overall, with 68% organic growth. Communications grew $36 million or 9% led by growth in wireless, which had 31% growth, while install-to-the-home and wireline were flattish. And electrical transmission grew by $20 million or 31%. As expected, our power generation and industrial business was down 24% as a result of wind tax credit uncertainty through year end. While the tax credits have now been extended for projects started by year-end 2013, most of our 2013 wind construction activity is expected to be in the second half of the year, followed by likely high levels of activity in 2014. First quarter cost of revenue, excluding depreciation and amortization as a percent of revenue, was 86.2% compared to 88.3% a year ago. That's a 210-basis-point improvement, driven primarily by oil and gas and wireless within the communications segment. Offsetting the overall cost of revenue improvement were higher electrical transmission costs, which were expected and caused by weather and ramping up several projects. And also, we had higher costs as a percent of revenue in power generation and industrial, mostly caused by low utilization levels. We expect that electrical transmission costs as a percent of revenue should improve significantly during the rest of the year. As Jose mentioned, we expect transmission EBITDA margins to be at a -- at double-digit levels for the full year similar to last year. And remember that transmission EBITDA margins were our highest segment margins last year. Depreciation and amortization expense was 3.5% of revenue in Q1 compared to 2.8% last year, primarily reflecting the impact of higher levels of capital expenditures and capital leases in oil and gas and in electrical transmission. We continue to increase our investment levels in oil and gas and electrical transmission in anticipation of greater amounts of work in the second half of 2013 and beyond. First quarter general and administrative expenses as a percent of revenue were up from 5.1% a year ago to 5.3% this year. All of the increase came from increasing our bad debt reserve to cover any potential customer billing and collections issues. Excluding bad debt expense, G&A as a percent of revenue was flat. Q1 continuing operations adjusted EBITDA was $79 million, which was up 61% from $49 million in 2012. Q1 continuing operations adjusted EBITDA margin improved 190 basis points versus last year as cost of revenue, excluding depreciation and amortization, improved by 210 basis points, and the rest of the P&L had modest ups and downs. Q1 continuing operations adjusted diluted earnings per share was $0.27 compared with the $0.14 we earned a year ago. For the first quarter of 2013, the 10 largest customers were: AT&T was 18% of total revenue; DIRECTV was 16% of total revenue; Enbridge, a pipeline customer, was 12% of total revenue; DCP Midstream, a pipeline customer was 8%; Chesapeake Midstream Partners, also a pipeline customer, was 4%; Isolux U.S.A., an electrical transmission customer, was 3% of total revenue. We had 4 customers each at 2% of total revenue: PPL Corporation, an electrical transmission customer; Basin Electric Power Coop and TransCanada, both power generation customers; and Pembina Pipeline, a pipeline customer in Canada. Regarding diversification, our top 10 customers in Q1 include 1 telecom customer, 1 satellite television customer, 4 oil and gas customers, 2 electrical transmission customers and 2 power generation customers. Note that we no longer have any customers over 20% of total revenue, and we have executed nicely on our strategy of reducing our DIRECTV concentration, which peaked at 47% a few years ago and is now down to 16%. Our revenue is split between onetime individual construction projects and what we call master service agreements and other similar contracts for generally recurring services and therefore, recurring revenue. For Q1, 51% of our revenue came from master service agreements or similar customers, and 49% came from onetime individual construction projects. It should be noted that with many of our customers, we do a significant number of repeat follow-on individual projects. I just wanted to highlight that even though our onetime individual project revenue is growing nicely, we do enjoy a large and stable revenue base from master service agreements and similar contracts. At quarter end, our backlog from continuing operations was $3.5 billion. The comparable number from Q1 last year was $3.1 billion and $3.4 billion at the end of 2012. As always, our backlog numbers are only for 18 months, and they include an estimate of the next 18 months of revenue from master service agreements and other similar contracts. You can see on our new segment data that at quarter end, we had a high level of backlog, about $400 million, for electrical transmission, where we have publicly commented on 4 fairly recent large awards. In the first quarter, we had significant sequential revenue growth in oil and gas, and at the same time, we had very good growth in oil and gas backlog. Oil and gas revenue grew sequentially by over 30% and backlog grew from $220 million at year end to $387 million at the end of the first quarter. We continue to be very bullish about growth in oil and gas, and we expect to see a significant build in backlog over the rest of the year, especially for long-haul work, with a significant amount of the work starting in 2013. Now let me talk about our cash flow, liquidity and our balance sheet. Liquidity, calculated as cash plus availability on our bank credit line, was $590 million compared to $506 million at year end and $493 million for Q1 a year ago. The improvement in liquidity comes from the net cash remaining from our $400 million senior notes offering, which refinanced $150 million of old notes and paid off the entire $134 million balance of our bank credit facility. Our Q1 cash flow from operations was $32 million compared with $44 million last year. Earnings were clearly better this year, but cash tax payments were larger and accounts receivable days sales outstanding were worse, which hurt our cash flow. Our Q1 accounts receivables days sales outstanding, or DSOs, for continuing operations were 88 days which is somewhat higher than where we think we can operate over the long term. But as I've said in the past, our DSOs can bounce around a little based on individual big project payment terms and especially the ups and downs of job start-ups and job closeouts. Regarding our spending on equipment, we spent $26 million in cash CapEx in Q1 compared to $14 million in Q1 last year. In addition, we added $38 million in capital leases and other financed equipment purchases in the first quarter compared to $4 million a year ago. The total of our cash CapEx and capital leases in financed equipment was $63 million in Q1 compared to $18 million in the first quarter of 2012. Q2 should also have a pretty high level of cash CapEx, capital leases and financed equipment purchases, and then the spending should be much lighter in the second half of the year. On a full year basis, we'll probably spend about $100 million in cash CapEx and maybe another $50 million to $60 million in capital leases and financed equipment. As we have previously said, we currently believe that we should have high levels of growth in oil and gas and in electrical transmission for the next few years. As our confidence level regarding sustainable growth has risen, we have increased our investment in equipment to support our anticipated growth. We see a great window of opportunity for the next few years and we're getting ready for it. We believe that the P&L benefit for our ramp-up in equipment spending will primarily be seen in 2014 and beyond. Therefore, we are incurring a modest P&L hit this year in order to do the right thing for the business longer-term. Now let me brag for a moment about our capital structure. We recently visited the rating agencies, and were upgraded to Ba2 by Moody's and reaffirmed as BB by S&P, reflecting improvements on many fronts at MasTec. With a much improved operational history behind us and a very positive market outlook ahead of us, we went to market in early March to replace our $150 million 7 5/8% senior notes, which would've matured in 2017. These notes became callable at a reasonable premium in February, and we went to market to lock in a very attractive interest rate and to extend our maturities. We were very pleased with the high demand for our offering. We actually had about $2 billion in orders, so we were very oversubscribed, which allowed us to upsize the deal from $350 million to $400 million and lock in a 4 7/8% interest rate, joining a very small group of companies with our credit rating that have ever locked in 10-year debt with an interest rate below 5%. Price age from the senior notes offering retired the old senior notes, paid off all of our bank revolver and gave us about $105 million in net cash proceeds. After the senior notes transaction at quarter end, we had $886 million in equity and $735 million of total debt and only $625 million in net debt that's net of cash and with guidance of $425 million of 2013 continuing operations adjusted EBITDA. Therefore, all of our balance sheet and credit ratios remain in very good shape. For our full year guidance, we currently expect revenue to come in at the upper end of our prior range at about $4 billion. Additionally, we are increasing our estimate for continuing operations adjusted EBITDA to $425 million and fixing our continued operations adjusted diluted earnings per share estimate at $1.80, including the additional $0.04 to $0.05 a share interest cost of carrying the larger amount of senior notes. The 2013 revenue projection represents a 7% increase over $3.7 billion for 2012, which we think is pretty good given that power generation and industrial revenue will likely be down over $300 million due to lower wind revenue. On the other hand, oil and gas, electrical transmission and communication, collectively, should grow at least 20% this year. Our 2013 continuing operations adjusted EBITDA projection of $425 million is a 28% increase over continuing operations adjusted EBITDA of $332 million last year. The 2013 continuing operations adjusted EBITDA margin implicit in our guidance is 10.6%, which compares to continuing operations adjusted margin of 8.9% last year. And continuing operations adjusted EPS of $1.80 is a 20% increase over continuing operations adjusted EPS of $1.50 last year. As I mentioned earlier, our guidance does not include the $5.6 million of loss on debt extinguishment, which is $3.4 million after tax or $0.04 per diluted share. Our 2013 full year guidance assumes a tax rate of about 39%. Cash taxes are estimated to be about the same as book taxes in 2013. We currently expect an increase in depreciation expense from $80 million in 2012 to about $117 million in 2013 as a result of higher CapEx and capital leases and a little more front-end loading than we had previously forecasted. We expect an increase in interest expense from $37 million in 2012 to about $44 million this year, and that's a $0.05 a share impact. Although the interest rate on the new senior notes is very favorable, we have added additional debt to take advantage of the opportunity to get $400 million of long-term debt capital at a sub 5% rate. So this will cause a modest 2013 P&L drag. As I mentioned earlier, we will also have a modest P&L drag in 2013 as we ramp up our equipment spending in anticipation of the opportunities that we see in oil and gas and in electrical transmission. In both cases, incurring a modest P&L drag in 2013 is just the right thing to do today to build and develop our company for long-term success. Our estimate for full year share count for diluted EPS is about 84.5 million shares. Remember that our share count for EPS purposes can fluctuate up and down with our stock price because of the accounting for our convertible notes. My final comment about our 2013 full year guidance is about margins. The continuing operations adjusted EBITDA margin implicit in our guidance is 10.6%. Our full year margin estimate looks reasonable. Q1 is by far our seasonally weakest quarter, and we hit 8.6%, and our Q2 guidance is for 10.8% and the third quarter is normally our best quarter. We currently project Q2 revenue of about $950 million compared to $989 million last year. The revenue decrease reflects the year-over-year impact of much lower power generation and industrial revenue. Power gen and industrial revenue might be down about $145 million in Q2 with much lower wind revenue this year. On the other hand, oil and gas, electrical transmission and communications should collectively be up about 13%. We project continuing operations EBITDA of $103 million compared to $82 million last year, an increase of 26%. The Q2 continuing operations EBITDA margin is expected to be 10.8% compared to 8.3% a year ago. And we project Q2 continuing operations diluted EPS of $0.42 compared to $0.38 last year, an increase of 11%. As Jose said, we anticipate that Q2 should be a solid quarter with down revenue, but with good margin expansion. And we further project that the second half of the year should be much stronger, with significant revenue increases in oil and gas and in electrical transmission and in wireless with improving margins. Our earnings guidance excludes the loss on debt extinguishment related to our recent successful debt refinancing and the impact of any acquisitions that we might make this year. In summary, Q1 was an excellent quarter in terms of revenue and earnings and better than our earlier expectations. Therefore, we're off to a good start for 2013. 2013 is all about execution and significant margin expansion. We currently expect another record year for MasTec in terms of revenue and earnings. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] We'll take your first question from Andy Kaplowitz from Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, I have 2 questions in 20 parts, I think, but I'll try and keep it limited. Can you talk about your wireless business? The growth was impressive, actually. And is it -- I mean can you talk about your penetration into AT&T and also into non-AT&T? And I thought it was interesting that you put Samsung as a key driver of your strong wireless growth. So if maybe you could mention that too.
Jose Ramon Mas: It's an exciting business. It's an exciting market. All of the major carriers are very aggressively ramping up their LTE programs. With LTE, there's a lot of other things that are happening in the industry in terms of new sites being constructed. The wireless services industry is changing in that a lot of the work is now happening at the top of a tower, which means that having tower climbing crews is the most critical factor in being successful in that business. We've been working on that for years now. We've made some small acquisitions to really bolster our capabilities around that. And today, we think we're definitely a market leader as it relates to that for all customers, right? So whether you're AT&T, or Sprint or T-Mobile or Verizon or whoever needs the work done, we think we're a very viable alternative and a key one. And over time, we think we're going to be a significant player in everybody's build plan. We think the market's going to continue to grow for a long time. We think that the maintenance component of the market is going to change long-term because it's all going to be tower climbing which traditionally, it hasn't been. So we think the business has great fundamentals, great long-term fundamentals. We're gearing up. We're well positioned. We think our business, with both our existing and our new customers, is going to continue to grow over time, and we're really excited about that business.
Andy Kaplowitz - Barclays Capital, Research Division: Do you think it's fair to say that most of the growth is share gains versus the market? I mean, what we see of the market is growing -- AT&T CapEx is growing this year, but not robustly, I would say.
Jose Ramon Mas: I think with AT&T specifically, yes, we're having share gains. But as an industry, you're seeing a lot more capital flowing to the industry because you've got all carriers beginning a rollout plan of LTE, where you haven't had that in the past. So there are carriers that are rapidly expanding their CapEx, and then there are other carriers that obviously have big CapEx plans, but they're not expanding as rapidly, and we're having success with both.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful. So about transmission, maybe your confidence level, Jose, around the transmission backlog growth that you mentioned and your ability to get margins back up into the double digits versus where they were in the quarter. Maybe you could talk about whether some of the weather issues you experienced in 1Q have already gone away in 2Q. Is it just as you transition to spring, things get better and that's kind of the way it is?
Jose Ramon Mas: Couple of things. First, our first quarter transmission margins were as expected. We didn't perform below what our internal expectations were. We knew we were going to have a tougher quarter in Q1. We knew it was going to be a tough comp. When you look at our transmission business, the challenge that we face right is we've gone through unbelievable growth. We've probably grown at a faster clip than anybody in the industry. But in relative size to the rest of us, it's still a fairly small entity, right? It's a sub $500 million of our business. Because of that, it's going to be highly impacted by very large project awards. So when we're starting a multi-hundred million dollar project, it impacts our business in a greater way because it's smaller. And as we get more of those, obviously you build a bigger base, the business gets bigger and it doesn't affect you as much. In Q1, the projects that we're going to be working on in 2013 happen to be in tougher geographies for weather early in the year. So weather did impact us because of where the geographic components of those projects were. Again, that was expected. And as we continue to grow our base and add more projects, that's going to begin to even out and really balance itself as the year plays out and that's what we expect. For the full year, we expect margins similar to those of 2012. We think that bidding activity has been strong for us for a long time. We're excited about the awards that we've gotten. We've got a lot of things on the plate that we think might happen for us. So we're very bullish on additional backlog expansion. We're very bullish on getting the projects that we have under our belt underway and really performing on those, and we think that's going to begin to flow through our margins in Q2 and for the balance of the year. And we expect to have a great year in transmission.
Operator: We'll move next to Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First on the pipeline side. Looking at -- it was definitely nice to hear about this ATEX Express award. First, I was wondering given that it's such a long line, if you could comment on how big northern portion is for you guys and in miles? And how long do you think that project will last? And then secondly, you sounded confident that Enbridge will remain one of your top customers this year. Can you discuss the nature of that work? Is it more midstream type small project activity or if there's some large project work involved with Enbridge as well?
Jose Ramon Mas: So ATEX is a large pipeline that goes all the way from the Marcellus area all the way into the south. Some of that line is actually an existing line that's part of -- a new portion of that line is being built that will feed into that line. So I think the northern portion is somewhere between 300 to 400 miles, and we got a piece of that, So it's an exciting opportunity. It's a project that we will complete in 2013. So it's a fairly quick book and burn, although it's long-haul pipeline construction. As it relates to Enbridge, the work is all large diameter-long pipes, so we're not working on -- this isn't a shale business. This is a long-haul pipeline construction business. We're not going to get into the specifics of the projects. Obviously, they've been a top customer of ours for 2 consecutive quarters now. We expect them to remain there. They have significant plans not just for 2013, but well into the next couple of years, they have announced a number of different pipelines that they're going to be constructing, adding on to and building. They've been a good customer of ours for a long time. We've performed well for them, and we believe that if we continue to perform, we're going to have as much as we can handle with Enbridge.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Great, that's helpful. And my second question, just given all this investment that you've been making in equipment, can you give us a sense of how much of this equipment will be coming online in '13 that you'll be able to use versus -- I know most of the benefit is falling into '14. But if you could just maybe try to help give us a sense of the pace of that equipment? How quickly is it coming online for you guys?
Jose Ramon Mas: Sure, Noelle. I think it's happening, right, and I think a lot of it has happened. So if you look at Q4, depreciation expense ramped up and a lot of that had to do with the equipment that we bought in Q4. If you look at our depreciation expense for Q1, it was up almost $10 million year-over-year, so a lot of that hit in Q1. Bob talked about our additional spend in Q2. So when you look at Q2, our depreciation expense on a year-over-year basis will be up about $12 million. And then you'll see that number begin to flatten out. So our Q3 and Q4 expectations around depreciation are Q3 will probably be the higher watermark because it will be the first quarter where we've got 3 months of all of the equipment that we purchased. But we'll actually see in our expectation a decrease in depreciation in Q4 as some of the existing purchases that we made start to come off. I mean all in all, our equipment is depreciating at about a 6-year life, so it's probably a little bit conservative. And most of that equipment will be in place in the first 6 months. Obviously, the revenue associated with that will not be. So while we'll be taking the hit earlier on in the year, as those revenues come online in the second half of '13 and beyond, it will begin to offset those expenses that we've been taking.
Operator: We'll move on to Alex Rygiel from Friedman, Billings and Ramsey.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Jose, you mentioned that the outlook for oil and gas you're hopeful that you can get, call it, 30% growth in 2013 versus 2012. But I'm trying to figure out where you're maybe being most conservative in your model, and it seems to be it might be with that forecast. Because basically, if we just take your revenue from the first quarter in oil and gas, we assume that revenue number is the same in 2Q, 3Q and 4Q, you're going to get to that up to 30%. But your commentary sounds a lot more bullish. The recent award would suggest that revenues are going to grow in oil and gas and the margin there -- I mean clearly it's your best-margin business. So am I right by assuming this is maybe the single business that's got the greatest upside to your guidance?
Jose Ramon Mas: Yes.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And when you think about growth in 2014, are you positioning the company today to grow at 10% or continue to grow very significantly over and above that?
Jose Ramon Mas: Alex, I think it's going to have to do with the market. I think the market is going to give us the opportunity to grow especially within that segment, in particular, a lot more than 10%. You're right on your earlier commentary. So can we grow the business 40%, 50% this year? The answer is maybe, right, depending on when projects get awarded, when projects start. Depending on how much we grow it next year off of that base will obviously depend on the kind of growth rates that we can experience in the future. But we're not building and making the investments that we're making for what we think will be a 10% growth business next year. But obviously, we think we can grow with it at strong double digits. Now overall as a company, the kind of guidance that we've given in the past is we think we can grow the business at an organic level at close to double digits. Some of those businesses will grow faster than others, and obviously between transmission, oil and gas pipeline and wireless, they're going to carry the growth of this business for the foreseeable future, and even renewables next year with some of the other ones growing less at a more moderate clip.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And if I can follow up real quick. As it relates to the renewables business, it sort of sounded like you were going to carry some excess expense and body and assets waiting for 2014 to kind of come back. But if I remember correctly, that wasn't the highest margin business back in 2011 and '12. So I don't want to say why not just exit it? But sort of why carry that expense if the margin profile might not be as good as other segments?
Jose Ramon Mas: So couple of things. One, the excess cost and burden that we're carrying there has a lot to do with G&A, so you'll see that our G&A spiked up a little bit in the first quarter. Some of that was due to, as Bob spoke about, the bad debt expense. But a portion of that was also some of the SG&A at the businesses in particular in that area and that's going to keep SG&A a little bit higher than last year as a percentage just because we're going to be carrying some extra resources. So it's a great question, Alex, in terms of why is it that we want to be in renewables long-term. And I think we've taken a very macro view of that business, and we've talked a little bit about it in the past. But our goal is to be a power generation contractor. Part of it is renewables, but the reality is that we want to penetrate the other parts of power generation. The work that we do in renewables and the customers that we do it for in renewables will be the same customers that we try to build out our power generation business with. So the reason that we continue to want to be in renewables is because the relationships that we're building due to our renewables business, we think is the one that's going to open up doors for us long-term on other power generation service offerings, which is where we want to be. So it's important for us to serve those clients because that's where our long-term goal is of getting within those clients other pieces of the power generation business.
Operator: We'll move next to William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Appreciate the color in the Q regarding the segment breakdown. Want to start there first in terms of your -- if you would care to provide possibly some targets to each one of these segments in terms of margin targets for '13. And then my second question will deal with the backlog. Is it safe to assume that pricing in the backlog is better than, say, a year ago? And how is that trending outside of power gen?
Jose Ramon Mas: Okay, so let's start with your margin question. What we've been saying all along is we expected our communication margins to continue to grow in '13 versus '12, primarily driven by wireless. I think we saw that in Q1, and I think we'll see that continuing as the balance of the year progresses. So we expect '13 to be up in margins relative to '12 in communications. As we look at our oil and gas business, we spent a lot of commentary last year talking about our troubled projects and what that would have meant to margins without them. So I can expect that you're going to have a full year of flow-through in our oil and gas business as if we wouldn't have had troubled projects, so we expect strong EBITDA growth in that business. In our transmission business, we're expecting comparable margins to 2012. And in our renewables business, we're expecting margins to be down because of utilization levels. And I think when you throw that all in, it kind of comes in to our guidance of the 10.6% versus the 8.9% last year. And I think that's the puts and takes from it. As it relates to backlog, our backlog is growing, particularly in our oil and gas business had nice backlog growth. We expect to have continued backlog growth in our transmission business. We've been positively talking about pricing in both of those markets for a long time. And I think that in the case of oil and gas pipeline, you've already seen it begin to affect margins. I think you'll see it affect margins in transmissions as the year plays out. So we think that our backlog is strong and more importantly, the jobs within our backlog, all the margin profile that we expect and we want, and that's why we're guiding to the numbers that we're guiding to.
William D. Bremer - Maxim Group LLC, Research Division: Okay. Secondly, on the acquisition front, you called that out, are these potentially going to be more bolt-ons or are we looking for new technologies to integrate into some of these segments?
Jose Ramon Mas: Well 2 things. One, we've been very vocal and very clear about our acquisition strategy in the past, the type of company that we want to buy, the type of multiple that we want to pay. That will be our mantra. We're not get away from what's made us successful so you can expect that we're going to buy midsized companies. We're going to buy them at aggressive multiples. We're going to buy businesses that we think we can help grow substantially, which is something that I think we've been able to demonstrate over the last few years. So I don't think you should expect us to stop or to do something different than what's really gotten us here. And two, we're going to do it within the businesses that we're in. So we're not necessarily looking at penetrating new markets like the acquisition that we made last year. Sometime, we're looking at having some more verticals within the markets that we service. But quite frankly, there's so much opportunity in what we do and we're not everywhere. We're not geographically dispersed enough. We think there's a lot of add-on that we can do and help bolster those companies with added opportunities that we can bring to them. So that should be your expectation.
Operator: Moving on to Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is on pipeline. The enterprise award is pretty notable in terms of size and its NGL/ethane focus. Jose, if you look at your opportunity set of potential awards over the next, let's say, 3 months, 4 months, is there a sort of orientation in terms of whether they are more natural gas, NGL-oriented or whether they're crude-oriented, is it the sort of spread across the board. And is rail as an alternative impacting maybe the fees of some of the crude opportunities you have?
Jose Ramon Mas: So lot of questions. When you look at our pipeline business, we're doing well over $1 billion now. So in essence, we're impacted by all of the different forms of natural resources, right, so whether it's straight gas or NGL or oil. Now we're working on all forms of pipelines and they maybe different in one shale, may have more one than the other. So I think today, we've got great visibility, and we're working on all forms of it, and we're going after all forms of it. So there are opportunities in each of those areas, and we're going to pursue them all. So we're not necessarily looking at one more than the other. Obviously, some of the larger projects could be more of one than the other but today, we're looking at them all. As it relates to rail, there's no question when you look at what's happened in Bakken and the effect that rails had on the Bakken shale and the lack of pipelines there. I think, over time, that will change, but today, rail is a huge method of exporting a lot or moving a lot of those resources out of the Bakken. And I don't think it makes financial sense so I think over time, pipelines make a lot more sense. And I think we'll see that. So yes, it -- I mean is it slowing down the rate of pipelines? I don't know the answer to that, but it's definitely a way that people are getting around the need for pipelines today, but I think it's cost-prohibitive in the long term and pipelines are going to be required to do it.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. My second question is in regards to acquisitions. You talked briefly about that to an earlier question. But as you grow larger, which is great and you've done a phenomenal job of delivering the midsize means also a little larger than it was maybe 3, 4 years ago. And your footprint around the U.S. and your traditional market has grown. So if you were to think a little outside of your comfort zone as adjacent market, would it be fair to say if I were to look at the market most adjacent to yourselves? You've talked about power generation. You might be going on to the processing side. Are those fair markets actually within your current capabilities?
Jose Ramon Mas: So at the end of the day, there's two things we look at. One is the market opportunity, and two is the actual target opportunity. As we look at the target opportunity, a, it needs to be in an area where we think there's a greater market opportunity. But more importantly, what do we think we can do with that target? So how do we help that target significantly increase its business, improve its margins and ultimately, be able to buy it at an attractive level and turn it into a big win when we can grow revenues, grow margins and get into it at a fair multiple? So I think it plays a little bit into both of those. There are definitely areas that we want to continue to grow into. So that's part of it, but it's more driven by the actual target and what we ultimately think we can do. So midsize, when I think of midsize, yes, midsize is growing obviously. If you look at some of the last few acquisitions we've made, they're generally getting a little bit bigger. But at the end of the day, it's not about the size of the business when we buy it. It's about the size of the business that we think we can make it. And as we buy these companies that we're buying, we think there's substantial opportunities for growth, and that's what really excites us and interests us about these opportunities.
Operator: Liam Burke from Janney Capital Markets.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: You're building up a fair amount of capital on the debt deal. This year, based on your earnings guidance, you should generate some healthy free cash flow. On the other side, you've got decent visibility on projects, and you mentioned earlier that you're a disciplined acquirer. You won't overpay. In terms of the amount of capital you anticipate laying out, could you give us a sense of the return requirements you're looking at vis-a-vis your cost of capital?
Jose Ramon Mas: Well again, we've been very disciplined. Rate of return on our acquisitions has been off the charts, and that's our expectation. So it's not about -- we're not -- when we buy a company, we're not looking at savings of synergies. We're not looking at multiples off of some future cash flow. We're looking at multiples of today. So we think we're buying right, and then our job is to grow those businesses and turn them into home runs, right? I mean we're not looking for singles and doubles. We're looking to, worst case, hit a single or double, and best case, be in positions to really do a lot better than that. I think the typical size of our acquisitions have gotten a little bit bigger, right? I think that in that hundred million dollar purchase price range is where you should expect us to continue to play. And again, it's got to be the right target with the right fundamentals and that gives us the opportunities to grow those businesses and get, in over the long-term, what would be a very, very, very attractive multiple.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Okay. And then just on the project side. I mean, as Bob highlighted, between capital leases and CapEx this year, it's in an anticipation beyond '13 of projects, are you still looking at these projects as having to generate a minimum return similar to where you'd look at an acquisition?
Jose Ramon Mas: Yes, and obviously, they're different. The capital that we're buying -- there's 2 ways to grow, right? One is you grow strictly through acquisitions, which we haven't done because most of our growth has been organic. But over time, you've got to fund that organic growth. And when we look at -- we always think that growing our business organically will give us far better returns than growing the business acquisitively. But again they're not mutually exclusive. We can do both. So we're investing on our business for organic growth. We expect to invest in our business via acquisitions and really continue what we think is going to be a very strong growth profile.
Operator: Adam Thalhimer from BBT Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Jose, can you talk a little bit about with regards to the tower-climbing crews, the opportunities for you to switch some employees from maybe climbing wind towers to climbing cell towers?
Jose Ramon Mas: Well, part of climbing towers is the fear of being very up -- very high up in the air, and the wind business is obviously down significantly in the U.S., not just with MasTec, but with really all of the major contractors. And tower climbing in the wireless side is an excellent avenue for those employees. It's a great place to work. There's no question that they need to be trained differently for it and there's different nuances on the job. But their work skill, the skill set and the characteristics are very similar so we have moved a lot of people from our wind business into our wireless business and we're actively recruiting people from within that industry into our wireless business because we think it's a short training process. So it's absolutely an area where we're looking to increase our resource base.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And I also wanted to ask about electric transmission. Jose, does it feel like that the [indiscernible] opportunities there continue to accelerate or does it just feel like it's so good that we're just kind of plateauing at a very healthy level for the whole industry?
Jose Ramon Mas: I think we're definitely at a very healthy level for the whole industry. We did see it increase a little bit from our commentary at the end of the year to our commentary now where we're actually seeing a little bit more in terms of the total opportunity size. But again, we expect it to be a very healthy market long-term, and we think there's plenty of work out there for everybody and it's going to be a very, very good next couple of years in that business.
Operator: Up next, John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Just following up on the -- Jose, on the transmission side of the business. I mean you had great success in communications, I mean, across the board. But how long before that could be a billion dollar business? And do you have to invest a lot more to get there?
Jose Ramon Mas: So John, that's our goal. We've been saying that we're not in this business to be a sub $500 million business. We want to be in businesses in MasTec that can approach $1 billion, right? Really, today, our only billion dollar business is, in theory, is our oil and gas business. We need to win more work. We think we're well in our way of getting there. We're not going to get there in the next year, but we think we're going to have substantial growth there and we think within the next couple of years, that business will absolutely be at least approaching that number.
John B. Rogers - D.A. Davidson & Co., Research Division: But can you do that organically?
Jose Ramon Mas: We think so.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, okay. And then the other thing, just on the communications side of the business. I know you've seen a lot of growth out of the wireless side of it. But there seems to be more interest potentially over the next couple of years into upgrading them, the in-ground business and especially, fiber connections and things like that. Is that an opportunity for MasTec?
Jose Ramon Mas: It is. That's where we started. MasTec was started in the wireline telecommunications industry. We still have a significant presence there. There's been a lot, obviously, in the last few months from different carriers about their plans. So do I think it's an opportunity? The answer is yes. Has that opportunity hit in yet? The answer is no, but it's coming and we will be a player in it. We'll determine at the time, as we see the opportunities and the scale of the opportunities, we will decide how to play in them. But it's absolutely -- it's an improving market. No question about it.
Operator: We'll go to a follow-up from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: My follow-up question is just trying to understand the underutilization in the wind business. Can you walk us through by quarter when you think that's going to be most severe in the second quarter and that gets a little bit better as we get to the back half of the year. Can you just help us out a little bit there?
Jose Ramon Mas: The 2 challenging quarters for us are going to be second and third, so we expect revenues to be down about $145 million in the second quarter. When you look at year-over-year in the third quarter, it's probably a similar number or maybe just slightly higher. And then a much better number in Q4, we'll still be down in Q4, but we'll be down a lot less. And then with the comps that we'll have this year versus next year, '14 should be a fairly easy comp year for that business compared to '13. But the high watermark is going to be somewhere between Q2 and Q3. So both Q2 and Q3 are going to be affected greatly and then Q4, it should really soften out. And again, because of some of the commentary around our transmission and pipeline work, we're in a much better position to offset that decline in Q3 than we are in Q2.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So on the operating profit line where you had a slight loss in the first quarter, do you think it could be maybe a little bit worse than the second quarter and third?
Jose Ramon Mas: I don't think it's going to drastically be different because the actual -- we've done a good job of rightsizing the operational side of the business. We're carrying a little bit of excess CapEx -- I'm sorry, of excess G&A. But outside of that, we'll manage it okay. We expect it to be a little bit worse here going forward, but not much worse.
Operator: Your last question in the queue will come from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Just one quick follow-up, Jose or Bob. The bad debt expense, what was that? I know it was a modest amount, a little less than $3 million and is there a significant debt there?
C. Robert Campbell: No. I mean, we routinely quarterly, of course, take a look at our bad debt reserve, and we do it on a global basis. We look at all of the accounts. We look at the aging and we felt like we needed to add to it. We're also a larger company and still a relatively modest amount of total bad debt reserve. If you look at the numbers, I think it's about $15 million as a company. And for those of you who may not have seen it, we added about $3 million to our bad debt reserve. And it's more of a look at overall than like account-specific. We do look at specific accounts, of course, but then we make a global judgment. So it was just good accounting, good solid accounting.
Operator: That does conclude our Q&A session. I'd like to turn the conference over to Jose Mas for any closing remarks.
Jose Ramon Mas: All right. Thank you, everybody, for participating and we look forward to updating you on our next call.
Operator: Again, that does conclude today's teleconference. We thank you, all, for your participation.